Operator: Good morning, everyone and thank you for joining us today for our webcast announcing U.S. Global Investors Results for the Third Quarter of 2021. I'm Holly Schoenfeldt. At the end of today’s webcast, we will be addressing questions that were sent in prior to today’s call. If you have any additional questions during the webcast, please send those to info@usfunds.com after the presentation and we will get back to you as soon as possible. Now, as seen on Slide number 2, the presenters for today's program are Frank Holmes, U.S. Global Investors’ CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Polly Schoenfeldt, Marketing and Public Relations Manager.  On to Slide number 3. As always, we would love to offer anyone tuned in today, one of [Indiscernible] all you have to do is send us an email with your mailing address and we are more than happy to get one over to you.  On Slide number 4, during this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during the webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accepts no obligation to update them in the future. Now on Slide number 5, you'll see a quick overview of U.S Global. We are an innovative investment manager with vast experience in global markets and specialized sectors. Founded as an investment club, the company became a registered investment advisor in 1968, and has a long-standing history of global investing and launching first of their kind investment products, including the first no-loan-gold fund.  U.S Global is well-known for expertise in gold and precious metals, natural resources, airlines and emerging markets.  Now, on Slide number 6, I would like to hand it over to Frank Holmes, CEO and CIUO for an overview of the period and what is driving the stock. Frank?
Frank Holmes: Thank you, Holly. And thank you, all shareholders and new and old loyal shareholders for being with us for the ups and downs and it’s been an even – the past year has been an amazing rollercoaster. But what seems to be next in consistent has been growth in assets and look at those space and I think in that introduction Holly, we forgot to say that we couldn’t launch a blockchain crypto ETF but we were able launch HIVE.  And that has been an important part of our overall success in addition to the airline recovery, the vaccine rollout, we benefited dramatically from the anticipation of the vaccine and then the vaccine rollout has led to spectacular growth in JETS. And I hope in this presentation we are going to walk you through that.  We don’t believe it’s over. We believe that Canada is just coming out of the far. EUROPE is still on thought yet.  But they are doing everything to get to the level where America is and I think we are going to get more growth in the airline industry around the world. And that is all to help driving surging assets management.  Next please? So our top institutional shareholders, Perritt Capital Management is a 5.52 diametric capital at 5.3, Heartland Advisors, Bill Nasgovitz and team at 4.81, The Royce Funds, who have been really with us up and down throughout the whole period of one time owning 15% when we were predominantly had the motion of being known for gold and in Citrus, we see how we’ve evolved with that.  But thank you for being such loyal shareholders. And Vanguard, which is basically an indexed product that they have. The five names own about 20% of the company. Next please, myself, I own about 16% of the company through Class A and C and I own a 100% of the C, which is voting stock and when you add that to convert that to the A, it’s overall 16% of the company.  Next please. Growing dividends, we’ve been paying them monthly. The company is paying a monthly dividend since June 2007 and the current yield and $8.19 as of May the 3rd, it was 0.73. Monthly dividend payments are 0.005 improved monthly. So I think, as you can see they are improved through June 2021 and I think, based on our financial strength, we should be able to maintain that.  Next please. So, the shareholder repurchase program, the Board approved a repurchase of up to $2.75 million shares of its outstanding common stock in the open market through December 31 of 2021 and during the three months ended March 31, the company repurchased 19,900 shares of Class A shares using cash of approximately 127,000. What’s important here is that, it’s an algorithm that buyers [Indiscernible]  So, it’s been useful and I think the average price listed was $6 and change that we pay for those 19,900 shares we purchased back. But as the Board has at anytime may suspend or discontinue at anytime this program, but so far, we’ve kept it for a long period of time.  Next please. So, you can see the share repurchased another visual looking at it and it’s been a great way to accumulate stock on the down days and down periods.  Next please. Gross share prices see steady growth. This is the share price over 12 months ended March 31. We had a super surge, the doubles and then pulled off. I’ll try to explain to you what’s driving some of that volatility, but over the past year, it is up more than seven-fold.  Next please. That’s right, our PE ratio is extremely low. When you compare it, I’d like to do this classic example that Invesco, excellent fund family group, 40% of their assets are in the QQQ and they traded 15.4 times, Wisdom Tree is a 100% our ETFs and they traded 21.3 and growth rates are 4.4 and 80% of our operating revenue comes from the ETF space. So, it’s I think that GROW has the potential for much more upside as we continue to show Q-over-Q and year-over-year growth in revenue, cash flow, and assets.  Next please. So GROW surges past its competition. As you can see here, because of a delta change, we just had faster growth in revenue per share than Invesco or Wisdom Tree and we had faster EBITDA per share growth in these - particularly because of JETS as an asset class than in our peers and that’s what drives the stock price.  Next please. Next is simple. I like this spick-and-span clean. GROW, just the other closed at 819. The average assets are above $4 billion which is important to hear is that they grew 38% Q-over-Q and 632% year-over-year. This translates into revenue of $6.4 million, which is a 23% increase Q-over-Q and revenue year-over-year grew 595%.  So that helps drive the stock price and net income $14.2 million, up from a loss of $1.6 million a year earlier, which really key here is the growth in JETS has been the most significant. We had GOAU for the first nine months of last year while GROW was surging and has tapered off. But JETS has continued to be tracking with how vaccines are growing. Total assets under management as of the end of March 31, were $4.6 billion.  Next please. So GROW is growing faster than the money supply and inflation. It’s an important factor when you are looking at. So, how do you grow inflation and there is no way inflation is only 1.7%, 1.8% and the reason why that CPI number is so understated is because it excludes food and inflation.  So inflation is probably riding more like 9% and money supply is growing at a huge number as you can see 25%. So I think that GROW has done a good job mainly because we track assets and also some of our key investments have grown in the past year faster than the amount of money being printed.  Next please. This is a quarterly average assets under management. As you can see, the nice decline from March of last year, when the pandemic hit and it was the all-time low and we see a rise in June, September, December and March.  Balance sheet is now reflected also very strong. We did a strategic investment, HIVE Blockchain. When we launched HIVE Blockchain, which was the first public company ever to be mining, cryptocurrency starting up Ethereum and then money Bitcoin. HIVE had a wonderful year last year. We crystallized our gains in December.  We reinvested HIVE so it could grow its asset base at a very rapid rate and to a convertible 8%, paid monthly convertible and we have the ability to get back to or either convert it into common stock or get paid out every quarter a portion of principal.  As you can see, equities investments and you can see the cash is growing. So our balance sheet remains much stronger that it has and that probably going back like ten years.  Next please. Earnings per share quarterly mainly due to the indirect investment in HIVE. As you could see, back in 2018, during the winter of crypto, 2017 was the big launch of HIVE. It boomed and falls and tracks with Ethereum and Bitcoin and then during that period of 2018, this is the winter for crypto. It was also a winter for gold stocks.  Gold stocks really didn’t bottom until in 2019 and didn’t take off until 2020, but what we had last year was the constellation of the stars looking up were perfect for us. We are blessed. We really were blessed. All the payment work we hit for five years down the story of JETS came to fruition, GOAU, after three years of – during the winter for gold stocks that paid off.  So, we are thrilled. So we had witnessed JETS and GOAU taking up, in particular JETS and then, the crypto investment and HIVE Blockchain. It came back last year and generated a return that was far greater than new highs our company has made. So it’s been a wonderful life for the shareholders who had the patience.  Next please. Operating revenue has been trending upward. Nice way of looking at the quarterly revenue in millions of dollars as you can see here.  Next please. And actually, what’s interesting about the fund business and we are full transparent it’s so easy that we know people that just basically look at our ETFs every day. And the total assets and multiplied times 0.6 and it gives you an idea what our revenue is going to look like and then, with it our key investments like HIVE closed at and that effects our P&L and the balance sheet and income statement. So, you can see that as the assets were in the ETF business, $100 million, that’s trading off $600,000 in revenue well over a year ago for the same quarter of March closed end of JETS and GOAU. And now, having $4 billion in assets that pulls us as we are throwing up $24 million in revenue and having $4.5 billion and we are pushing close to $16 million in operating revenue from the fund - $30 million, sorry, from the operating revenue, which is a huge change from the previous year and that is shown up on a per share basis which helping drive the stock.  Next please. Well, I love these two guys. They are too sweet and very rich old men. But thank you, millennial investors. Their idea is to invest in – where it is significant as the millennials came to Robinhood and came through TD Waterhouse and Schwab. We got to thank them because their price action.  Next visual please. It was very significant I talked about it last year that there was a whole forecast 25,000 Robinhood investors bought JETS between $12 and $13. Buffer comes out in June and so as we sold all of those airlines and he is very pessimistic about the options for a vaccine and the growth that turnaround the economy and the airline starting picking off.  It was basically the bottom and JETS went from the $12 range to $28 in that run. So, when they millennial investors aren’t very smart, I disagree. I know that, the data we are showing at the time, 25,000 had invested in JETS prior to a Buffet disclosing that he bailed on the industry as it took off.  What’s important here is that, a lot of these early investors were speculating that in previous crisis that were global, the airlines well 60% or 70% and then they rebound 80% to 120%. So, they are very accurate, because that’s what it’s done, more than doubled from its lowest. But a lot of that growth of JETS price action really took place as vaccines – as more and more people got their first vaccine and that’s what we saw in the first quarter. Many of the airlines had spectacular runs in the first quarter.  92 days and so 70% of the population is vaccinated against COVID-19 and the United States is doing well and I think we what you will see that as 70% gets to that number and we get a higher number for double vaccines, that is the double shots, the airline industry will get business travel. That’s a more profitable part of the business.  But in the interim, it looks very, very strong that by August we will have 70% at least having one needle. This is a interesting time to our herd that comes out and on a regular basis and you can track how many days based on collection of each data and the rollout is taking place. The country that we look at it was interesting and it’s a small population base is Israel.  Israel has less than $10 million people, has pushed something like 83% of people have already received their first vaccine, whereas America is over 300 million it’s just more work. But those states that has the biggest penetration in getting people vaccinated have enjoyed their great business boom.  Next please. Record inflows into JETS. How the way we are looking at it by each quarter it varies. But here you can see the dollar amounts traded in the billions is just remarkable to see that we traded 40,000 shares a day and it goes to 8 million.  Next please. Something that really was important last year, that came out in March was by the PSA discussing how many people and given the data that they allowed to fly, they are pretty clear. In giving the big macro data point, prior to COVID the PSA was basically approving 2.7 million people a day, 2 million Americans were flying daily, 700,000 were inbound from Asia, Europe, Canada and Latin America.  That collapsed until April of last year to a number just under 90,000 people a day were flying. Now we are over 1.5 million people and most of that is tourism, not so much business travel to the degree. And the business travel as I said, the data suggest that when we get 70% of the people vaccinated, more than 50% of the people double vaccinated, that business travel will then pick up again.  But I remain very bullish on the travel recovery. Believe that the first day, two surges we’ve had in JETS. That we are getting ready, we collected from the highs and when we get ready for probably the next third wave for the JETS to possibly go back and make new highs as Europe comes back on stream.  And we have to realize is that, there is so much pent-up demand for people to just fly and travel, but for goods and services all over the world. And friends of mine who are in Vegas reached and they said everything is sold out in the shops. You have to basically go in the shop and buy online.  So, I think that we are going to be so well surprised when we take a look at the growth in purchasing manufacturers index strongly suggest a huge boom for the next six months and GDP numbers are being forecasted between 6% to 9% growth rates. So, I think those lots are upside still in the airlines industry.  Next please. Airline recovery optimism, another wave of travel is expected.  Next please. But never forget the DNA of volatility. I highly recommend you look at this and you study it. The DNA of volatility of the gold market, bullion is plus 70% at the time. It goes up or down 1% a day. Over ten days it’s 3%. So I think any time it jumps 10% in ten days, takes 5% on default, more than 6% usually a time to just start accumulating.  The S&P is two times gold over one day in over ten days or slightly it’s plus or minus 5%. So, it’s more volatile. Most people think on the talking heads on CNBC. The gold is more volatile than the S&P 500, when in fact it’s more stable. And it’s been proving itself to be a good asset class for the large hedge fund in the world having a 10% waiting and rebouncing.  And in this time last year, it was on the terror on the upside with all the money printing as 10 year government bonds went from 50 basis points low and surged to 1.8%. That run basically took the wind of the sale for gold and it’s corrective.  But I did feel, it really gives you a great opportunity to be buying gold and gold stocks on that correction, because the amount of money printing by – in the U.S., China and the Europe is $17 trillion. So, as that comes through the economic engine, there is another reason for the JETS and another reason I think GOAU have another big run.  But that ignited last year the Bitcoin and Ethereum. And as you can see the volatility there it’s impacting our stock price because behind every share of GROW, there is almost 0.7 shares of HIVE. So, HIVE was down in the day, we are now finding obviously GROW is down. But from an operating cash flow and revenue, people have to recognize that the operating cash flow really most of that really is directed from basis points fees we earned from managing the ETFs and mutual funds.  And the investment in HIVE predominantly was - shows up on many assets as in the balance sheet and it’s the P&L comes from investments and that’s a much more volatile factor that drives it. But our new convertible really creates much more stability in that as an investment which we have.  And so, I think that of the opportunity when we sell off, then investors are not really capturing and why we are trading at such a good multiple. The huge embedded value of the ETF business we are in and I think that going forward, this is going to be unlocked.  But Tesla, is more volatile than Bitcoin. Oh, it shocks people, but Ethereum is the most volatiles. Ethereum is a very significant investment in HIVE. HIVE is the only crypto company mining Ethereum and it’s a huge asset to them and both on revenue and cash flow and in assets they hurdle, they have a big investment in Ethereum itself.  Next please. So, GOAU index outperforms the New York Stock Exchange Arca Gold index since we launched this, we are – since we look in the past year, as you can see, that the quant approach. So, picking gold stocks is just better than just buying on market cap. And that’s the big difference. We have a smaller portfolio, higher percentage in the worthy companies and this index shows and I just think it’s a much smarter way and that’s what the GOAU ETF tracks this particular index. And it’s a better way for investors.  Next please. So, passing on from GOAU, I want to jump into HIVE which is a strategic investment we made three years ago, over three years ago in fact. And it was because we are trying to launch ETF and Bitcoin and Ethereum when we quickly recognized that the regulatory bodies both in Canada and US were quite concerned about anti-money laundering laws and they just want to level that happened that’s some hacker gets some Bitcoins and then he sold them into a New York Stock Exchange listed ETF is just bad news.  So, we had all those knowledge and friends of mine buy them to explore it and they were doubting that crypto mining was for a long term. But I was in a much more bullish stance to it. And I put up the first institutional money, put $5 million of the $30 million round.  And since I have gotten as a Chairman, just like I was launching a GOAU ETF or I was launching JETS and this was going to our proxy and just something I thought was really cutting edge and there was huge growth potential for it. That was the sort of genesis of us investing in HIVE Blockchain. It was the first crypto mining company and it assured in and attracted over $1 billion of other companies emulating what we’ve done.  But we’ve always been on the forefront when at the strongest ESG footprint only using green energy. We’ve also been first to go out and buy our own datacenters and also to do share swaps to build out what we think is very important investment. But let me walk you through the incredible rollercoaster lines of HIVE Blockchain technology. So, U.S. Global Investors and HIVE, well, we recently sold 10 million shares of HIVE in December locking in gains. But those are strategic not only locking in gains, but more important was to build up the cash position to reinvest in HIVE so we can maintain its growth momentum.  I didn’t sold any shares personally and I think that’s important for investors to realize the proceeds were reinvested via a private placement and unsecured convertible debentures, which were very attractive at the time for the company and extremely attractive for U.S. Global, because we maintained our position. So behind every share of GROW is a 0.71 shares of HIVE Blockchain. The debentures mature in five years. They have quarterly principal payments and their interest is 8% but paid monthly.  Now, what’s also important is in this concept when you look at crypto mining and what HIVE has such a waving success is because, not only do we mining here in a Bitcoin, but we hold on for it for year life, that is keep what you believe. And keep it on your balance sheet. So we keep and I’ve always kept Ethereum and then Bitcoin on our balance sheet and this attracted on huge audience and of investors from September of 2017 when we first launched it.  And so, what for investors in GROW, what you recognize is that HIVE is our model. It’s our way to play the crypto phenomena that’s taking place globally. Here is a 30 second comprehensive, but concise introduction to who HIVE is.  [Advertisement] HIVE invests in these datacenters and builds them out. And I want to make sure you get to see the next video, it’s a minute. It’s longer than 30 seconds. But it really offers you a mature size and the magnitude that HIVE is the Ethereum miner in the world.  [Advertisement] So, HIVE Blockchain continues its strong performance. The total return in 12 month period in March 31, it was up 2500% and the U.S. Global shareholders benefit from the spectacular growth in HIVE. HIVE also, because of its investments in Bitcoin Ethereum, at the end of December was the most profitable of all of the crypto money companies.   I think we also probably will have that by the end of March. As more machines coming on stream with other companies and bit coin mining this quarter and June, so maybe that will change, but I still think we are the most profitable crypto mining company.  Next please. So, HIVE, not only was it a spectacular performer, it attracted the imagination as Ethereum Bitcoin rallied and we traded 1.7 billion shares in Canada and over-the-counter a1.8 billion and in the U.S., we traded – almost 60 million shares and in Germany 20 million shares. So, overall, we traded 2.4 billion shares of stock as it appreciated almost 2500%.  Next please. So, I am often asked, what is the difference between Bitcoin and Ethereum and I hope this one minute information video will help you understand the difference.  [Advertisement] Thank you. Well, HIVE is the most liquid TS and it is Canada traded stock trade 1.7 billion shares in 2020 and in over-the-counter in the U.S. – are used to be known and number four in best 50 stocks established at the market equity programs accelerated both during this period and it’s still at a run up of more than double when all the crypto stocks took off in the first quarter and what’s interesting about this is that, we traded than grace scales Bitcoin trust.  Next please. So, here is the numbers. You know, HIVE far outperformed the competition and I share with you is that when we were trying to launch over four years ago a Bitcoin ETF all those research it realized it just wasn’t going to go anywhere due to the concerns of anti-money laundering laws by the SEC and Ontario Securities Commission and KYC.  But crypto mining you basically validate a transaction and you get paid brand new cryptocurrency for that. So, they are untouched. You don’t have an AML concern. That investment was an important investment and we invested originally $5 million and it was a heck of a roller coaster.  It was up towards the $100 million of sell back towards about $3 million and today, it’s worth much more than $30 million. So, it’s probably we – the tune of more like about $45 million. So, it’s an interesting exercise that crypto mining as Ethereum and Bitcoin prices rally it was the better investment and it outperformed everything else.  Next please. So, last year when talks about Bitcoin up about 800%, but Ethereum is up 1300% and in February of this year Ethereum started trading on the futures market for CME for institutions they were able to buy. But HIVE it’s up to 2500%. So, I really think that the mining has been a better investment. These are reasons that are driving this price that I want to share with you is Metcalfe's law and it’s very simple.  May of last year they have the number of Bitcoins that you would get every ten minutes from 12.5 down to 6.25. So supply gets restricted. We all know that it’s capped at 21 million coins. But more and more people are buying and they are now able to buy through PayPal and PayPal allows you to buy in a fraction.  You can’t buy an ETF from PayPal, you can’t buy a stock, but you can buy Bitcoin. And you can turnaround and sell that Bitcoin and use the proceeds and go to Amazon or go to BestBuy, buy new TV because you bought it at 10,000, it’s now 57,000. It’s remarkable.  What that does is, when it says is Metcalfe's law says that you have a limited supply and more people adopt Bitcoin as an asset class to protect you against the excessive money printing, then it grows exponentially and that is why it’s been driving it.  Supply, we all know, of Ethereum and Bitcoin is much more limited and that attracts more buyers Mastercard, Visa, they are all jumping in on this space than more and more institutional money. So, HIVE has been benefiting because of the new interest in Ethereum and Blockchain and the video is here and I explained to you how Metcalfe's law works.  [Advertisement] Well, thank you very much for – and the patience for watching that for a couple of minutes. Now I want to talk to you, listen, - to have you to listen hard working, our CFO, Lisa dynamite, Lisa Callicotte. 
Lisa Callicotte : Thank you, Frank. First, I’d like to start with our financial highlight on Slide 43. We had another very strong quarter. Operating revenue have continue to increase and were up approximately 23% compared to the previous quarter and 595%, compared to the same quarter a year ago.  Our quarterly net income was $14.2 million, compared to the previous quarter loss of $1.6 million. Average assets under management were $4 billion, up for the quarter, 38% from the previous quarter and 632% in the same quarter a year ago. Now, I’ll review more details of our operations for the quarter ending March 31, 2021.  Beginning on Slide 44, we recorded total operating revenues of $6.4 million for the quarter, which was an increase of $5.4 million or 595% from $914,000 the same quarter last year. The increase is primarily due to increases in assets under management, especially on JETS ETF.  Operating expenses for the quarter were $3 million, an increase of $1.1 million or 59%, primarily for the following reasons: employee compensation and benefits increased 667,000 or 93%, primarily due to increased bonuses due to improved company and fund performance.  General and administrative expenses increased $437,000 or 40%, primarily due to increased ETF fund expenses and that was due to the ETF AUM increase. We see our operating income for the quarter ended March 31, 2021 at $3.4 million, or an improvement of $4.3 million, compared to the same quarter for fiscal year 2020, which was a loss of $979,000.  On Slide 45, we see that other income for the quarter was $15.5 million. It was primarily related to unrealized gains on investments. I want to remind everybody about HIVE and the new investment we have in it. We actually have a couple of pieces.  One is the warrant which are fair valued and the change in that value hit our income statement which would be kind of included in this $15.5 million, then the debt portion that we have is also fair valued, but the change in that value goes through other comprehensive income. So, again, that’s not on our income statement, but it is sitting on our balance sheet.  Also, as you would expect, as our net income goes up, our expenses – our tax expense goes up and that did increase $4.6 million for the quarter. Net income attributable to USGI after taxes for the quarter was $14.2 million.  And as you can see on Slide 46, this equates to $0.94 a share and it’s compared to a loss of $0.06 per share for the same quarter last year.  Moving to Slide 47, we see our balance sheet is also improving. It includes high levels of cash and debt and equity securities at fair value and they combine to make up over 80% of our total assets. As you see on Page 48, we still have no long-term debt and the only long-term liabilities we have are deferred taxes and lease obligations. The company has a net working capital of $14.1 million and a current ratio of 3.4 to 1. With that, I’ll turn it over to Holly. 
Holly Schoenfeldt: Thank you, Lisa. Alright, as you can see on Slide 51, a majority of our mutual fund assets are in emerging markets and natural resources while 27% are in global equities and fixed income. And after distribution, more than three quarters of assets come from retail investors with 17% coming from institutional investors.  On Slide 52, our sales and marketing efforts have continued to focus on our mutual funds including those concentrated on gold, natural resources and emerging markets, as well as our exchange trading fund. More recently, we have expanded our media presence in the cryptocurrency space as well with interviews by Con Telegraph and Coin Desk, just to name a few.  The company and our funds continue to receive invaluable amount of viral publicity gains through these media interviews.  And then, on Slide 53, you can see that GROW, our fund and HIVE continues to be highlighted by influential financial newsletter writers, as well, along with sharing and syndication of our award-winning original content by third-party publishers. The newsletters have loyal followings and received millions of visitors each month.  Frank Holmes, the CEO blog, Frank Talk continues to grow in popularity as seen on Slide 54 and in fact, Frank Talk celebrated 14 years of publication this April. Frank’s commentary is often featured by prominent publications including Forbes, Seekingalpha, Kitco and Equities.com, each one with millions of monthly visitors.  On to Slide 55, Kitco News, the biggest gold website in the world with an audience of over 30 million monthly visitors continues to feature the Gold Gain Phone Show with Frank Holmes gold market analysis and now crypto analysis. And in addition, Frank has become a frequent guest and commentator on both gold and digital currencies on Stansberry Research with host Daniela Cambone.  Now, if we take a look at Slide number 56, at quarter end, we are going to look at the most visited Frank Talk blog post published over the past year and on this slide, you will see the most visited articles were as follows: number one, A New Commodities Supercycle Could Be Powering Up After a Long Freeze; number two, Inflation Is Coming for Your Wealth. Here's What Investors Can Do About It and number three, Gold Still Attractive as the Bond Selloff Looks Overdone. You can sign up for the Frank Talk blog for free, as always on our home page which is usfunds.com.  On Slide 57, all of this coverage helped us leverage our brand by reaching millions of readers, viewers and potential investors. Our website, usfunds.com was visited over 480,000 times from March of 2020 to March of 2021 by serious investors from all over the world.  U.S. Global Investors is well-known for its timely, balanced and positive market insight and our thought leadership. So, as you can see on Slide number 58, the company has been awarded numerous star awards by the Investment Management Education Alliance over the years for its excellence in investor education and now our total stands at 90 awards.  On Slide number 59, our subscriber base continues to grow organically and we currently have over 100,000 serious investors following our investment newsletters, social channels, and the Frank Talk blog and investors can sign up on our website, enjoy and meet subscribers to receive the award-winning investor alert e-newsletter as well as Frank Talk.  Now on to Slide number 60. We also continue to see a large following across all of our social media platforms and I encourage you all to check that not only on Facebook and Instagram, but also on Pintrest, Twitter and even YouTube.  And now, as we wrap up today’s presentation, we will address some questions that were sent in by shareholders. And just as a reminder to our audience this morning, if you have additional questions for us, please do not hesitate to email those to info@usfunds.com.
A - Holly Schoenfeldt: And Frank, I’d like to start the Q&A with a question for you which says, Jeff, is it significant scores of AUM for the firm, what is the company doing to ensure its continued success and/or handle any direct competition that may come up for JETS?
Frank Holmes : Well, I think the first part of that, Holly, is that, the structure of that, the unique smart beta 2.0 it’s not just some factors are picking stocks. It’s the overall structure to try to capture 65% of the people that fly and the 2 million people that were flying in America and then how it’s expanded globally, we’ve made adjustments as the fund grew to be more dynamic and fluid, which we use stick to the perspective.  So, we are cut up in trying to monitor that we can go deep the original bogie we set out and that was New York Stock Exchange global airline index. And so, I think that we’ve got to make sure we are telling that story that’s further to knock it off, because it’s not just, picking stock is portfolio structure.  And then it’s now getting the story told in different geographic locations around the world and getting it listed. So, I was thrilled to see we are able to get it to Mexico and there is other opportunities in America. And so, we will continue. I hope we will get it in Asia too. So this is unique. And we think there is another big wave of opportunity in the airlines industry as the world becomes vaccinated. 
Holly Schoenfeldt: Perfect. Thanks, Frank. Lisa, here is a question for you. It says, can you please explain operating margin changes over the last few quarters?
Lisa Callicotte: Yes. So, and I think this is a question that we had often, often, because our quarterly operating margins at September 2020 was 29%. And then, in December it was 10% and then at March – for March 2021quarter, it was 54%. So, I know a lot of people are curious about why there was a decrease for that December quarter and I do want to remind people that that really is related to a bonus that was paid in that quarter related to realizing on investments about $1.8 million.  And so, bonuses are part of our compensation expense that included in operating expenses. But realized gains are included in investment income which is not included in operating income. So, we are seeing that expense and are operating even though the income is not included in operating income. So, if we remove that bonus from our operating expenses, then the operating margin for December would be approximately 45%.  So, I think that is more in line with what people are expecting and it’s more, is a better representative of what our operational margin is, which would be 29% for September, 45% in December and 54% for this last March quarter. So we are seeing that as revenues are rising our – expenses are rising too but not at the same rate causing us to be able to have that increased operating margin. 
Holly Schoenfeldt: Thank you, Lisa. Frank, this is another question for you. It says, what is the long-term strategy for HIVE? And more specifically, how HIVE relates to you U.S. Global Investors? Do you plan to continue overseeing both of these companies? 
Frank Holmes : Yes. I am as Executive Chairman and that we’ve looked at CEOs in – issue there is to get someone who can manage the process knowing capital markets and datacenters. So far, we’ve not been able to do that, but it has not hurt us. Only it’s – we have a great CFO, outstanding the two of us are basically involved in the turnaround. We have to bias Ebor [Ph] from Europe has been also critical with that.  And then, we’ve expanded, now that we have the GPU one not only buying 50 megawatts capacity in Brunswick and having our own datacenter. We noticed that we did that deal for less than $300,000 of megawatt and a pure mining – crypto mining company paying $2 million. So, we think that were on the cutting edge of that and the importance of having a datacenter.  And we can do that now because I have as a Executive Chairman, a phenomenal team that meets every morning and it takes a lot of stress off on where we are growing, what we are doing because we have technically six people that have come on with tremendous engineering expertise to, accounting expertise in the crypto space and running datacenters.  So, I think the company is still lean and mean. I just don’t want to take a salary for it, because I look that as being one of our trust products and trying to managing it from that end. So, I am thrilled about where we are positioned for the next leg.  The vision is to take it to a $10 billion company if all of our equipment that we imported was producing today, we’d be doing $300 million and having EBITDA of $200 million. But that equipment is we experience delays and disappointments coming back from China, the whole world is experiencing complaining about lack of chips from cars, most and then even Apple.  And so we’ve had our own share of it of securing a pipeline of upgraded technical equipment. But we think that we will be able to triple what we were doing and if you looked at – power today, you can usually see that this is a company that’s come from doing $50 million in revenue, now with a runrate of $160 million going to $180 million, then going to $300 million. So, I think it’s a potential for a $10 billion company. 
Holly Schoenfeldt: Thank you, Frank. We have one more question today, so what opportunities do you believe lie ahead in terms of making for money for GROW shareholders? What can we look for to in the second half of the year for example? 
Frank Holmes : Well, we are working on some – I think an excellent new product that fits up to our expertise in global natural resources. And we’d be the only product out there. So, we are fast tracking the execution of that. So, we can also tell us the story and we think it’s a great product for investors for many reasons from retail to institutional and we can at least stay lean and mean.  We have less than 25 employees. That’s really important for us to stay lean and flexible and outsource. We have outsourced some talents that we have to have, but we basically want to stay very nimble in how we are running the business, expand the footprint of JETS around the world. I think that that’s a huge growth opportunity.  And I think that JETS can be a $6 billion to $7 billion product for investors. So, that bodes itself as very attractive. I think we are going to get another wave, rewards going to take off and I think there is going to be a greater appreciation for GOAU. What we have found is that, it takes about five years and $5 million to really build a brand and name.  And that’s what we’ve did with some of our funds and then they took off, that’s what happened with JETS. It took five years. GOAU has been around for three, but I think on this next leg on gold, a resurface as that important inflationary hedge asset class that the gold stock themselves are much more profitable than ever that these shares will explode on the upside.  So, they are opportunities. I think that that’s a $1 billion product. It should be more like about $3 billion or $4 billion when I compare it to how superior it is to any other Gold ETF that’s out there. So, I remain very committed, bullish and we are going to educate investors why we are undervalued at trading at less than 5 x of earnings.  I think we should be trading closer to 20 x earnings and that means that GROW is huge on the upside, huge potential. 
Holly Schoenfeldt: And there are some questions about which is one of the most important and exciting portion of this GROW earnings webcast, Frank, if you could address if you have these. The first point, you addressed at the beginning on the holding strategy does, can you maybe go into detail about how much you have those holding? 
Frank Holmes : When we look at our holding this year, we’ve been predominantly just mining and banking all of our coins and it has been a big win for us. We have just close to $100 million in predominantly Ethereum and Bitcoin, but the major portion because we are the biggest Ethereum producer in the world is aetherium. So, and then, you add on cash on to that, that w are close to $140 million in U.S. dollars liquidity. 
Holly Schoenfeldt: Great. And another question about HIVE is asking, what is the strategy right now for listing in the U.S.? 
Frank Holmes : Well, we’ve talked about it before, it’s a process of a 20F, 40-F. So, we are going with a 40-Ffiling. We originally thought it was going to be a 20-F but we have gone to a 40-F. We’ve reached out to NASDAQ and so, we are in the process now and hopefully we can get this locked up very, very shortly. 
Holly Schoenfeldt: Perfect. One last question, in terms of HIVE, what is your runrate today? And what is the expected revenue growth over the next 12 months? 
Frank Holmes : Well, based on Ethereum and Bitcoin prices today, and some Ethereum Classical, so, we put a month ago when Ethereum Classic was $20. Some of our machines that are not been upgraded on to money Ethereum Classic at $20 and it went to $150. So, we are making a ton of money in Ethereum Classic, which we’ve been selling to use to the electrical bill and totaling the rest of our Bitcoin and Ethereum production.  And so, from that end, we have a runrate today of about 450,000 a day and close to over $160 million a year. We have been public and that we are going to go out and basically buy a lot of Bitcoin machines, ASIC machines to mine Bitcoin that would take our total complex up to about 3.2 exahash. That means that our runrate would be over $300 million in 12 months from now and on a pro forma, we’ll be making $200 million.  Not sure, there is always can be bumps and disappointments through this process, because I am just buying an incredibly volatile first mover bench as everyone is so aggressive at trying to secure equipment, get it delivered on time, get datacenters, et cetera. So we are very busy, but what’s really important for the investors is the acquisition of GPU 1 brought in the brain trust that I feel I needed it to scale of this to a $10 billion company. 
Holly Schoenfeldt: Perfect. Thanks so much, Frank. 
Operator: And thank you everyone for tuning in this morning. This concludes U.S. Global Investors’ webcast for the third quarter of 2021. And again, if you have any remaining questions, send those into info@usfunds.com. Thank you.